Operator: Hello, ladies and gentlemen, and thank you for standing by and welcome to the GoodRx Third Quarter 2024 Earnings Call. As a reminder, today’s conference call is being recorded. I would now like to introduce your host for today’s call, Aubrey Reynolds, Director of Investor Relations. Ms. Reynolds, you may begin.
Aubrey Reynolds: Thank you, operator. Good morning, everyone, and welcome to GoodRx’s earnings conference call for the third quarter 2024. Joining me today are Scott Wagner, our Interim Chief Executive Officer; and Karsten Voermann, our Chief Financial Officer. Before we begin, I’d like to remind everyone that this call will contain forward-looking statements. All statements made on this call that do not relate to matters of historical fact should be considered forward-looking statements, including without limitation, statements regarding management’s plans, strategies, goals and objectives, our market opportunity, our anticipated financial performance, underlying trends in our business and industry, including ongoing changes in the pharmacy ecosystem, our value proposition, our long-term growth prospects, our direct and hybrid contracting approach, collaborations and partnerships with third parties, including our point-of-sale cash programs and our integrated savings program, our e-commerce strategy, and our capital allocation priorities. These statements are neither promises nor guarantees but involve known and unknown risks, uncertainties, and other important factors. These factors including the factors discussed in the Risk Factor section of our Annual Report on Form 10-K for the year ended December 31st, 2023, and our other financial filings with the Securities and Exchange Commission could cause actual results, performance or achievements to differ materially from those expressed or implied by the forward-looking statements made on this call. Any such forward-looking statements represents management’s estimates as of the date of this call, and we disclaim any obligation to update these statements even if subsequent events cause our views to change. In addition, we will be referencing certain non-GAAP metrics in today’s remarks. We have reconciled each non-GAAP metric to the nearest GAAP metric in the company’s earnings press release, which can be found in the overview page of our Investor Relations website at investors.goodrx.com. I’d also like to remind everyone that a replay of this call will become available there shortly as well. With that, I’ll turn it over to Scott.
Scott Wagner: Thanks, Aubrey, and thanks to everyone for joining us today to discuss our third quarter results. Our Q3 top line was where we expected and adjusted EBITDA margin came in higher than we anticipated. Adjusted EBITDA grew 21% relative to this period last year. I’d like to start the call by reminding everyone of the GoodRx value proposition, what we’re seeing in the industry and highlight a few themes around the business and then Karsten will get into our financials. We believe our GoodRx value proposition and market position are strong and I would argue are increasingly relevant in a world with more and more attention in the healthcare being paid to patient affordability and ease of access. Let me touch on three quick points about how GoodRx benefits our customers and partners. First, GoodRx has a huge consumer and healthcare provider audience that really values what we do, reflected by our notably high net promoter scores. That gives us the ability to drive and direct high volumes in prescriptions over 100 million in 2023 to pharmacies and to pharma manufacturers. That’s both important and unique. Second, GoodRx is well positioned as a complement to health insurance. We estimate that over 90% of our users have some form of insurance and still use GoodRx because insurance formularies are getting more restrictive, patient and employer costs continue to rise via both co-pays and deductibles and more and more authorizations are being put in place that add friction and require more time from both patients and physicians. GoodRx helps consumers fill the gaps in their insurance, assessing coverage, finding an affordable price and taking friction out of the time consuming authorization processes. Third, GoodRx’s relationships with pharmacies, PBMs, healthcare providers and consumers all make GoodRx extremely relevant to pharma manufacturers. Manufacturers are leveraging GoodRx to do truly unique things like our point-of-sale cash discounts that can give them tighter, more direct relationships with patients and importantly grow volumes. In a world where there is increasing attention on medicine affordability and access, we feel good about where we sit in the healthcare ecosystem, likely stronger and more relevant than several years ago. As we look at Q3 and the near term financial outlook and what we’re seeing in the business, it really is a tale of two cities. On the plus side, we’re making progress with brand manufacturers and brand medication. Our pharma manufacturer solutions offering is expected to deliver about 20% year-over-year top line growth in the fourth quarter as brand manufacturers are using GoodRx for unique cash, co-pay and assistance programs to reach patients and physicians. This market is big. We estimate a $7 billion plus SAM. In addition, we’re extending our integrated savings program, or ISP, to include uncovered brand medication. We believe GoodRx provides a durable and distinctive way for manufacturers to reach patients and physicians and to clean up some of the pricing variability and cloudiness that plagued the industry. We’re encouraged by both our progress and our long-term potential. At the same time, the retail pharmacy environment remains unsettled, which is affecting the near-term growth of our prescription transaction business centered largely around generics. Retail pharmacy chains including CVS, Rite Aid and Walgreens are closing store locations to improve profitability and some are renegotiating reimbursement rates with PBMs and pursuing other avenues to drive up their margins. We believe this industry resettling in retail pharmacy is a short-term dynamic that isn’t permanent but does cause turbulence for our prescriptions marketplace. We believe our success at engaging retailers in direct contracts where we now have eight of our top 10 retailers working with us directly in some form, as well as our ability to deepen relationships with PBMs and leverage them as a sales channel for ISP offering will lay the foundation to exit this period of turbulence on solid footing. I’d like to share some additional color on both of these two cities to continue with the analogy. Starting on the positive in pharma manufacturer solutions, we saw solid year-over-year top line growth in the third quarter consistent with what we indicated at Investor Day, excluding the impacts from vitaCare. We’re pleased with our strategic progress to bring all brand affordability programs onto GoodRx. As we’ve talked about before, brand medications have unique challenges that complicate the patient journey, cost often being one of the biggest, we found that pharma is increasingly looking for innovative solutions to deliver affordability options to consumers and they’re turning to GoodRx because we have the reach and scale to get them in front of a high intent audience and to help drive conversion. We estimate that more than 85% of our users already have a prescription in hand and are looking for ways to afford it. Our offering to brands are now threefold. First, we help brands surface their co-pay cards and patient assistance programs to high intent patients. Second, we create clear and affordable cash prices for brand medication that often isn’t covered by insurance. And third, we now offer e-commerce capabilities that allow brands to integrate their direct to consumer experiences into our platform. We’re seeing strong momentum around our point-of-sale cash programs and believe the impact of these programs will only get bigger in the future. As a reminder, these programs lower the cash price of branded medication for consumers immediately at the checkout counter with very little friction, and are increasingly being used by manufacturers to serve more patients and to grow their revenue. Over the past several months, we’ve announced partnerships with Boehringer Ingelheim for its Humira Biosimilar, ARS Pharmaceuticals for Neffy, the first needle-free epinephrine, Pfizer for its entire portfolio of menopause hormone therapies, and Vivus for its weight management medication QSYMIA for each of these discounted cash prices are easily accessible via GoodRx. We’re now up to 72 signed point-of-sale cash programs for brands over twice the number of deals we began 2024 with. The reason for the rapid growth is that these point-of-sale programs work. Manufacturers drive incremental prescriptions, which translates into more revenue. Pharmacies often receive a higher reimbursement rate than if the transaction ran through a benefit plan and of course consumers are delighted by the savings. Here is a real-time customer story to show how these things come together. The other week my mother-in-law, Kathy, received a prescription for a Dexcom G7 diabetes unit. Kathy rolled up to her neighborhood pharmacy, I’ll withhold the name, and was informed that her insurance plan, I’ll also withhold the name, didn’t cover the G7 and it would cost her $600 a month. Kathy’s quote in her email to my wife, well, I guess I’ll have to keep sticking myself. Fortunately, Dexcom is one of our 72 cash programs and G7 devices are offered via GoodRx for $185 cash price. One of our more progressive retail partners made it super easy for Kathy. Kathy got her medicine and also happened to switch her pharmacy. When we talk about filling the gaps in insurance, removing friction for patients and adding value to the system, this is what it looks like. We’re also excited about our new e-commerce solution which just launched with Opill, the first over-the-counter birth control pill. This new capability allows consumer health and pharmaceutical brands looking to provide a frictionless experience for consumers to integrate their offerings directly into the GoodRx platform. Not only are we creating new ways for consumers to buy their medications directly through GoodRx, but this is our first partnership with an over-the-counter brand which is an incremental addressable market we’re exploring. Over the past year we’ve seen a shift towards healthcare brands creating direct to consumer experiences and the GoodRx e-commerce solution could enable us to integrate many of these offerings directly into our platform, providing valuable opportunities for both us and our partners. Similarly, we’re also working with Hy-Vee and other retail pharmacies, so consumers can soon pay over time with a firm via the GoodRx platform. This is part of our broader e-commerce strategy to streamline the consumer experience and help people access their medications by delivering a more affordable payment solution and helping them reach their deductible. Ideally, this will make the entire purchasing process simpler for patients, for retailers, and also for healthcare plans and their employees. We feel great about the trajectory in pharma manufacturer solutions and the potential growth in this business going forward. At our Investor Day in the spring, we shared a 20% or more revenue growth rate target for pharma manufacturer solutions. As Karsten will discuss, we see our Q4 results coming in at about that same level. Turning to what’s a bit more challenging in the near-term, results in our prescription marketplace were more mixed. We’ve been consistently adding market share over the past several quarters and our integrated savings program, or ISP offering, is performing well. However, our core direct to consumer prescription offering does face some near-term retail pharmacy headwinds, as we’ve mentioned previously. On the positive side, ISP, which provides consumers with a valuable complement to their health insurance and leverages PBMs to bring us new users, has been performing in line with our expectations. Our core ISP program, running for its second year now, focuses on providing patients the lowest possible price we can on covered medications, typically generics. We’re excited about the Integrated Savings Program, RAP our off formulary brand deals which we’ve begun signing and are expected to launch in early 2025. These programs will allow patients to benefit from low GoodRx prices where medications, typically brands are not covered by their benefit plan which is a growing portion of the market. We believe this capability, having a cash or co-pay offering for uncovered brand medications should be a core component of every single funded plan and we look forward to working with our plan and PBM partners to make this a reality in 2025 and beyond. While we’re excited about the higher growth areas like ISP, our prescription marketplace continues to be impacted by challenges in the retail pharmacy environment. Multiple chains are closing locations and some are renegotiating reimbursement rates with PBMs in an effort to improve profitability. In prior quarter we talked about Rite Aid store closures impacting revenue by about $5 million in the second half of 2024 and we’ve seen approximately $2.5 million of impact in the third quarter. The Walgreens and CVS store closures are indicative of the pressures retailers face. While these retailers store thinning isn’t expected to be as impactful to us on a store basis as Rite Aids continued more concentrated closures, all pharmacy retailers are taking actions to increase their revenue and margins. With all this going on, it’s important to take a step back and note that GoodRx provides invaluable support to retailers in three important ways. First, we invest over half of our revenue into sales, marketing and technology to capture and drive more prescriptions and more consumers to pharmacies. Second, we follow our partner pharmacy’s leads on how they’d like to contract with us, whether direct to GoodRx or still working through PBMs. Our direct and hybrid contracting enhances retailers ability to merchandise. As I mentioned, we now have some form of direct contracts with eight of ten of our top pharmacies and over 30% of our volume now flows through hybrid and direct contracts, in part because of the share gain we picked up at some of these direct retailers. Third, and finally, we believe our ISP programs, particularly the RAP programs that focus on brand drugs, reduce patient script abandonment, lead to more filled prescriptions, and may improve a retailers’ overall economics in meaningful ways. So what does this mean? In the short term retailers are looking at all avenues to improve their margins. Since the start of the year, we’ve all heard in the industry about increasing numbers of store closures, larger pharmacy losses and negotiations on funded reimbursements. However, in the long-term, retail pharmacies will ultimately need to attract and serve consumers with a clear value proposition that combines physical retail with online capability. We believe that the longer term consideration should ultimately be a tailwind for GoodRx, although the wind will swirl at times. Before I hand it off to Karsten, I would like to reiterate this Tale of Two Cities theme. We are getting great traction with brand manufacturers and it’s showing up in the results. Obviously, the short term retail landscape has changed quite a bit over the past 100 days in terms of store closures and retail PBM negotiations. But as these normalize, we see a continued path for durable growth in core PTR as articulated at Investor Day. For those building models, obviously you are going to want visibility into what that pacing will look like in 2025. The reality for us right now is that the goalposts are pretty wide, with brand medications and our pharma manufacturer solutions offering on track to provide 20% plus year-over-year top line growth and strong market momentum. Core PTR is experiencing some short term choppiness relative to recent quarters’ higher single digit percentage year-over-year growth rate. Given the external desire for precision guidance, we’ll keep refining our expectations over the rest of the year and to share more refined expectations with everybody on our year end call consistent with our prior practice. With that, I’ll hand it over to Karsten.
Karsten Voermann: Thank you Scott. I’ll review our third quarter financial results before turning to guidance. During the third quarter, revenue and adjusted revenue were at the midpoint of the guidance we provided on our second quarter earnings call in August, and adjusted EBITDA margin was higher than we anticipated. Adjusted EBITDA was up 21.5% year-over-year, despite the challenges in the retail pharmacy space. Q3 total revenue increased 8% and adjusted revenue increased 3% year-over-year to $195.3 million due to growth in our prescriptions marketplace as well as pharma manufacturer solutions. The third quarter of last year also included a total of $2.1 million of revenue from the Kroger Savings Club subscription offering and $2.5 million of revenue from the vitaCare offering within Manufacturing Solutions, neither of which contributed revenue this quarter. Moving on to the revenue lines, prescription transactions revenue grew 4% year-over-year to $140.4 million primarily due to a 7% increase in monthly active consumers and despite Rite Aid closure impact of $2.4 million. Subscription revenue declined 8% as expected to $21.3 million largely due to the sunset of the Kroger Savings Club, which contributed $2.1 million in the third quarter of last year. Pharma manufacturer solutions revenue increased to $28.1 million, which represents 77% year-over-year growth. As a reminder, Q3 2023 pharma manufacturer solutions revenue included a $10 million contract termination payment related to vitaCare that was recognized as a reduction of revenue. Excluding this payment, we still saw year-over-year growth as we continued to expand our market penetration, including ongoing growth in our brand drug point to sale discount programs and more than offset the approximately $2.5 million reduction in revenue contribution relative to the third quarter of last year from vitaCare shuttering. Net income was $4.0 million compared to a net loss of $38.5 million in the third quarter of 2023. Adjusted net income was $31.9 million, up from $25.5 million in the third quarter of 2023. Adjusted EBITDA increased 21.5% year-over-year to $65.0 million. Adjusted EBITDA margin was 33.3% and was up 520 basis points year-over-year. This significant year-over-year improvement was primarily driven by top line growth and savings from the restructuring of our vitaCare Pharma manufacturer solutions offering in the second half of 2023. This marks another quarter of increasing adjusted EBITDA margin up from 31.7% in the first quarter and 32.6% in the second quarter. It also consistently follows adjusted EBITDA growth of 18% year-over-year in Q1 and 22% in Q2. We generated net cash provided by operating activities of $86.9 million in Q3 compared to $60.3 million in the prior year period. The increase in cash provided by operating activities was driven by an increase in net income after adjusting for noncash items and changes in operating assets and liabilities. Our balance sheet is robust and we ended the quarter with $423.8 million of cash and cash equivalents and $500 million of outstanding debt. Our revolving credit facility is untapped except for letters of credit and had $91.7 million of unused capacity as of September 30, 2024, representing total liquidity of $515.5 million. Our capital allocation priorities are unchanged and we’ll continue to focus on high return investments and maximizing value for shareholders. Okay, moving on to guidance. For the fourth quarter, we expect revenue and adjusted revenue to come in at around $200 million. This would put full year revenue and adjusted revenue just under $795 million, which would result in approximately 6% year-over-year growth in revenue and roughly 4% growth year-over-year on an adjusted revenue basis. We see the approximately $200 million of fourth quarter revenue and adjusted revenue being made up of approximately $164 million to $165 million of prescriptions marketplace revenue, which is prescriptions transactions revenue and subscriptions revenue. That represents an approximately 2% decline year-over-year for prescriptions marketplace revenue. As a reminder, on the subscriptions revenue line, Kroger Savings Club contributed approximately $1.6 million of revenue in the fourth quarter of 2023 and is not contributing revenue this year due to the sunset of the program in July. And we anticipate approximately $2.5 million of Rite Aid store closure effects impacting the prescription transactions revenue line in the fourth quarter, consistent with our estimate from our prior earnings call, which pointed to approximately $5 million of total Rite Aid impact in the second half of 2024. Our expected growth would be positive without the anticipated Kroger Savings Club and Rite Aid impacts. We see pharma manufacturer solutions coming in at approximately $29 million to $30 million dollars of revenue, representing about 20% growth consistent with our expectations for the pharma manufacturer solutions offering we laid out during our Investor Day. We expect other revenue to be approximately $5 million flat to the fourth quarter of 2023. The full year roughly 4% adjusted revenue and 6% revenue growth is at around the low end of our 6% to 12% three-year compound annual revenue growth rate we discussed at our Investor Day in part because of the expected approximately $5 million Rite Aid store closure impacts. Also as a quick reminder, full year 2024 growth is also tempered by approximately $16 million more revenue included in 2023 from the offerings we shuttered vitaCare and Kroger Savings Club than they contributed in 2024. From a margin perspective, we expect adjusted EBITDA margin to be about 34% in the fourth quarter. For the full year we expect $255 million to $260 million of adjusted EBITDA, up over 17% from 2023 based on our expectations of a high degree of adjusted EBITDA flow through from top line growth and our continued focus on cost structure and efficiency generally. Our full year 2024 expectations represent over 32% adjusted EBITDA margin, up more than 340 basis points from 2023, and we believe demonstrates the inherent adjusted EBITDA margin growth potential of this business. Now that we’ve talked about 2024 outcomes, I expect many people listening would appreciate a view on 2025, particularly the folks out there who are building and updating their models. We’re not formally guiding now because we’re still doing our 2025 planning, but we do want to be helpful. On the one hand, we have clearer views on our pharma manufacturer solutions revenue for 2025 as client discussions progress and commitments and bookings for 2025 are locked in. We are confident that we’ll see 20% plus year-over-year growth in pharma manufacturer solutions in 2025 versus 2024. On the other hand, with retail pharmacies struggling, the goalpost for our prescriptions marketplace and especially prescription transactions revenue remain fairly wide. Incorporating these two dynamics, we believe total GoodRx revenue will grow in 2025 relative to 2024 and we expect that revenue growth to be somewhere in the single-digit percentage range. We expect adjusted EBITDA margins to continue to increase as we drive flow through from incremental revenue higher, continuing our trajectory of EBITDA growth. Because of the wide range and potential outcomes, we encourage ever into model 2025 revenue conservatively and will provide updates as our prescriptions marketplace visibility improves. With that, we’ll turn over to the operator for questions.
Operator: Certainly. [Operator Instructions] And our first question will be coming from Stephanie Davis of Barclays. Your line is open, Stephanie.
Stephanie Davis: Hey guys, thank you for taking my questions. Scott, congrats on the mother-in-law [ph] brownie points ahead of Thanksgiving.
Scott Wagner: Thank you.
Stephanie Davis: I had some questions on ManSol because although we talked a lot about the prescription transaction part of the business, when I look at the guidance 4Q and the preliminary for 2025, that’s where most of the delta is versus my numbers. So for my first question can we just kind of delve into did we miss model that and got kind of carried away or is anything changing in how you’re thinking of the ramp up in the ManSol business?
Scott Wagner: Hey Stephanie, thanks. Relative to ManSol, I think the trajectory at 20% growth, that we’re certainly guiding to in the fourth quarter and when you adjust vitaCare is really what Q3 did represents kind of a nice steady run rate now and it’s accelerating. If you’re backing it up a couple quarters, growth in that business was in the mix single-digits and I was on that call, I was on this call saying we’re going to really focus on cash, co-pay access, all the affordability things that are really our sweet spot and that’s what we’ve been doing and it’s nice to be able to come back and say we’re getting consistent traction on it.
Operator: [Operator Instructions] And our next question will be coming from Charles Rhyee of TD Cowen. Your line is open.
Charles Rhyee: Yes. Thanks for taking the question. I’m trying to understand a little bit about the choppiness here in the retail market, understanding that stores are closing obviously with some big change here. You had sized the rated impact of $5 million last quarter. Obviously the – I think they’ve announced a few more store closures since how much of this choppiness at this point could be from like a Walgreens and at this point, it seems like you are waiting till February to kind of guide here. But as you’re doing your planning, you talked in the past about getting more contact information with patients.
divert patients:
Scott Wagner: Yes. Hey Charles, it’s Scott. So a couple points at both the questions and the statements through there. One is, over the last 100 days, there’s announcements across the industry on both footprint and some retail PBM interactions and everything that we’re articulating, kind of incorporates our best knowledge of that. And again, even next year, broadly, we’re seeing continued growth in GoodRx overall when we mix everything together. Now, to your point on directing, whether it’s cross pharmacy footprint or things that we can do, my example, nothing like the personal example on an earnings call, but that’s a very real one that plays out a whole bunch of different times per week where we’re able to deliver value to somebody, in this case, it happened to be my mother in law, but that really needed this diabetes unit. And it was our brand program that enabled her to get it. She was not going to pick up this medication. We got her an affordable price. And honestly, it moved her entire pharmacy relationship from one chain to another because one of the partners made it super easy to get visibility and pickup. And I think if we scale that out and look at the business, that is what gives honestly, me and us, a little bit of systematic comfort where there’s this huge need still in the world where almost a billion scripts are at the counter. Out of that scripts that are left at the counter due to affordability, a little under 100 million of them, 100 million are brand medications. And the GoodRx platform is really the place that people go to and they’re looking for affordability. And it creates a whole bunch of ways that not only can we serve patients, but again, we can drive incremental economics into retailers, so we got the pieces in place to do that. And despite the things in the overall footprint that we’re working through, the sort of structural value is there.
Operator: [Operator Instructions] Our next question will be coming from Lisa Gill of J.P. Morgan. Lisa, your line is open.
Lisa Gill: Hi, thanks very much. Good morning. I just wanted to follow-up on two things. So one, just curious about the ISP uptake for 2025 and the contracts that you’ve signed there and maybe the visibility. And then Karsten, I know you don’t want to give guidance, but you talk about 20% plus growth in manufacturing and revenue is single-digits. Does that mean that the rest of the business is very low-single digits as we think about next year? And I appreciate Scott’s comments that we want to keep it conservative at this point, but just want to make sure that I understand what you’re saying.
Karsten Voermann: Hi Lisa, this is Karsten. So taking those in reverse order, I think the first comment I’d make is that, yes, for next year, the growth we’re seeing at the 20% plus from manufacturer solutions, which is consistent with what we said at Investor Day, that that growth is now becoming clearer and clearer. We’re deep in the selling season and have the ability to watch bookings roll in and contracts and so on. So that absolutely forms the majority of the growth going into next year. I think the goalposts on the prescriptions marketplace side of the business. So our PTR and subscriptions line are just wider, given what Scott’s been talking about around what’s going on in pharmacy in particular. And so on that side in particular, we’re being more conservative than on the other side. I think it’s probably the best way to articulate it. But the – for ManSol business is chugging along exactly as we want. With respect to the first part of your question in connection with ISP, I think we’re very excited about our ISP wrap program, layering on next year incrementally to our core ISP program. And as a reminder for folks, ISP wrap is ISP focused on off consumers’ formulary medications, so brand drugs, et cetera. And the reason we’re excited about it is, number one, it has the potential for a high win rate given that we’re not competing with a co-pay, we’re competing with what the consumer would otherwise pay, which could even be a U&C rate. And number two, the ability to provide off formulary medications is also valuable to our brand pharma partners. I think what’s tricky at this point and the reason that we are being conservative is prior to the launch of these programs, well, they’re very exciting. You don’t have a trajectory to look at to predict how they’re going to roll out. So that’s mostly the basis, I think, of what we’re looking at for next year, Lisa.
Operator: [Operator Instructions] Our next question will be coming from Scott Schoenhaus of KeyBanc. Your line is open, Scott.
Scott Schoenhaus: …question. So you talked about the challenging choppiness in the retail environment. Believe you entered into a direct contracting method with Kroger. Just kind of wanted to hear an update on how that’s going to give us a sense of how you can attack these retailers in a direct contracting method in 2025. And then can you give us a sense, you did a good job on the Investor Day on giving us a sense of the breakdown between ISP versus direct contracting versus hybrid. Can you give us a sense of where those benchmarks are relative to your initial guidance for 2025? Thank you.
Scott Wagner: Yes. Hey Scott, it’s Scott, I’ll start and maybe Karsten will add some detail. So broad context of our total volume mix, not the retail footprint, but our volume mix, a little over 30% of our volume is now directly contracted and so obviously a little less than 70% is still relative or still working through our PBM network. And again, the broad point is we’re following each of our retailers lead in how they want to engage with us. And really the decision that they go through is how do they want to manage their funded business and how do we fit in relative to that. But we’re following a retailer’s lead. What we’re able to do with honestly regardless of contracting, but we have more latitude when we end up going direct to retailers is to actually help them manage their holistic category. Again, back to the example I gave, take relative price points not only across retailers, but Amazon plus some of the direct mail separate pharmacy models that are popping up in certain categories and be able to help a retailer promote manage offerings to certain categories, whether it’s cold and flu season with a particular retailer that pops a ton of volume or manage price point on particular drugs and geographies or regions. It’s good old fashioned marketing and merchandising across not only generics, but again, brands that help retailers not only meet a need at the counter, but more importantly fulfill a mission of being a destination for medicine and other things that they do.
Operator: [Operator Instructions] And our next question will be coming from Stan Berenshteyn of Wells Fargo Securities. Your line is open, Stan.
Stan Berenshteyn: Hi, thanks for taking my questions. In the prepared remarks, you mentioned that pharmacies are increasingly negotiating contracts with PBMs. Can you just comment how widespread are these negotiations and do you have a sense of the extent to which take rates could be pressured from the revised contracts? Thank you.
Karsten Voermann: Hey Stan, it’s Karsten here. We believe that the renegotiation process is pretty standard in one sense and so far as pharmacies and PBMs arm wrestle over what margin is going to look like pretty much every year and pretty much through every contract cycle. I think what’s different this time is that the pressure that pharmacies are under force them and also act as catalysts for them to be more aggressive with the PBMs. So as Scott said earlier, we’ve factored kind of everything we know into the numbers we’ve articulated, including the preliminary views on 2025 at this point as well. So while I think there is a possibility that if pharmacies and PBMs in their arm wrestling end up with pharmacies increasing their reimbursement rates a little and with PBMs decreasing the amount of admin fee they collect a little bit, given as Scott just said a moment ago, just shy of 70% of our volumes are still coming in through PBMs. We would see potentially a little bit less flow through on that. But at this point, it’s really a bit too early to say, which is why we’re taking a relatively conservative stance on our perspective going into next year.
Scott Wagner: And I’ll chime in the discussion that we’re having with retailers that’s happening on a day in, day out basis. And we’re now at least starting to have a conversation on the overall category, which is not rates at the very micro unit level. And everybody’s going back and forth on it. But how do you look at this category? What need are you solving again for patients at the counter and gaps in insurance and how are you filling that? And there’s ways that a lot more economics can flow to retailers as we continue honestly to operate at that level, and particularly through brands, which again is a way to create a whole bunch of incremental economics to retail that they’re not getting today. And more importantly, you’re doing what you’re supposed to be doing, which is driving traffic, delighting people, adding shoppers into the store. And that’s a little bit of the over longer-term or strategic view. But if you’ve looked at some of our press releases, we’re doing some really neat things with IV, who’s a super innovative retailer around pre-order pickup in-store that kind of bring all these kinds of things together to really make a better honestly overall pharmacy experience. And while we’re going through some of the things in the footprint, we’re also trying and advancing them at different paces on some of these broader topics with our retail partners.
Operator: [Operator Instructions] Our next question will be coming from Sean Dodge of RBC Capital Markets. Your line is open, Sean.
Sean Dodge: Yes. Thanks. Good morning. Maybe just going back to the ISP rollout, Scott, you said you’re in your second year of this now. Is the pace of adoption proceeding pretty similarly across all of your PBM partners there or are some of them going a bit faster than others? And then if there are ones going faster, why is that and the ones going slower, is it just cautiousness on their part that’s driving that or there’s some technical or other kind of constraints or barriers that they’re running into?
Scott Wagner: Yes. Not surprisingly, it’s a mix across the PBM environment. And if you take a step back, what need is this solving? I think there’s real demand from employers who obviously are the real payers of all of our healthcare, to have a capability for their members, you and I and everybody else, relative to insurance plans and this was a first step, or a toe in the water, if you will of how do you complement and bring GoodRx alongside funded plans? And right now, we’re – as we’ve clearly articulated, working with and really through the PBMs in that dynamic and it’s been only generics to date. What we’re excited about is again bringing brands into that program with some of the PBMs that we announced. And that’s an additional and very big market need. Because again, the problem that’s being solved here is employers are obviously trying to manage the cost benefit, but we all want our people to get great healthcare, but it’s not a blank check. And the need that this is really serving is every employer is trying to both have a really nice plan for their people in appropriate ways and then complement it as so. And again, ISP to date, I’d say is a piece of that. And we’re continuing to round out the benefits and hopefully next year, not only with our PBM partners, but even more so with plans and employers having honestly that direct connection to GoodRx to ride alongside somebody’s insurance plan. Because that’s really the benefit of what GoodRx does.
Operator: Thank you. [Operator Instructions] Our next question will be coming from Jailendra Singh of Truist Securities. Your line is open.
Jailendra Singh: Good morning, and thanks for taking my questions. I wanted to ask about your PMS business. Looks like you’re seeing some good momentum there. Can you provide any update on what you are seeing in terms of pharma companies willingness to spend and sign on? Considering all the cautious commentary we’ve heard from some of the CROs and other pharma services companies we cover. I understand that GoodRx is working off a small base and the solution is a pay as you go structure for the pharma client, but has there been any change in conversation and does your guidance assume any benefit from a potential budget flush you might see at these pharma companies in Q4.
Karsten Voermann: Thanks. So broadly, here’s what’s really nice about what we’re doing. GoodRx has – we have 350 million unique visits a year from people coming to GoodRx looking for affordability, 20% of those are on brand medication. And when we look across our brand drug pages relative to the brand.com, we get between 1.5 and 5x the traffic of a brand.com. Just think about that. And we don’t – that’s got no direct marketing. We’re not doing anything for that. It literally is just people coming to our brand drug pages looking for an affordability solution. And so the last year has been about just meeting that need, particularly through cash, co-pay assistance, and some surround on those pages and a good measure of success is the fact that these brand cash point of sale programs like the DexCom example that I described in the call. We entered the year with 20 odd somewhere in the 20s. We now have 72 of these programs in place. And the great thing about these programs is these stack and compound and we’re obviously in discussion to continue to grow that number and integrate all of the assistance programs that these different brands have really with workflow riding on GoodRx. So I think I feel good about the trajectory of where manufacturer solutions is on the face of the P&L. Honestly, when I think about those macro numbers, I get more excited and in all honesty get anxious and excited about making that number go up bigger because those are really big and compelling numbers with a need. And we’re continuing to work with brands to bring all their assistance programs onto GoodRx.
Scott Wagner: And Jailendra, just to answer the other part of your question, we’re not really relying on any sort of budget flush outcomes in relation to the numbers we put out there for the fourth quarter.
Operator: Thank you. [Operator Instructions] Our next question will be coming from Craig Hettenbach of Morgan Stanley. Your line is open, Craig.
Unidentified Analyst: Hi, this is [indiscernible] on for Craig. Thanks for taking my question. With the growth in pharma manufacturing solutions and the development with GLP-1s, I was wondering whether you can refresh your thoughts on the market opportunity and what are your thoughts on compounded GLP-1s on the platform and if that would impact conversations with the branded partners. Thank you.
Karsten Voermann: Yes. So same big market stat, in the third quarter we got 1.9 million unique price page views on GoodRx, so near like effectively 2 million unique views in the quarter for GLP-1. That is a huge number and again that’s on brand drug price page. So we’re working with Lilly and Novo in ways to surround that environment. And so obviously the growth of ManSol has some nice pickup from GLP-1s in even our posted growth rates. But when you look at that level of activity and think about this category evolving as affordability continues to become important and we build up these e-commerce capabilities like we just described, GoodRx has the ability to have a very affordable price where you can see inventory at these – at a retailer, reserve it and either pick it up in store or have it sent to your house. And now we’re talking to Lilly and Novo about how can those kind of programs reside. But it’s just continued opportunity around. A lot of people come into GoodRx looking for affordability. You asked about compounding. We have stood very clearly on the side of working with branded pharma Lilly and Novo and have not worked with compounders in contrast to a whole bunch of other people in the system largely and 100% because we’re trying to work on these programs with Lilly and Novo and the brands themselves, and have in all transparency turned away things that we could do with compounders out of an effort to build for the long-term. I think these direct to consumer capabilities on the brands that do think the market and the world really wants.
Operator: And one moment for our next question. Our next question will be coming from Allen Lutz, Bank of America. Your line is open, Allen.
Allen Lutz: Hi, good morning and thanks for the questions. One for Scott or Karsten. How widespread are you seeing pharmacies getting more aggressive with PBMs? And I guess what’s changed there? Trying to understand is this one pharmacy that’s getting more aggressive with PBMs or are you seeing it across the board with your pharmacy partners maybe pushing back more aggressively? And then mechanically, how does that impact GoodRx? Would you expect a weaker take rate related to that or less volume flowing through? Thanks.
Karsten Voermann: Hey Alan, this is Karsten. So a couple things, first of all, I think you said what are we seeing and is it endemic and why is it happening? And then impact on us, if I follow correctly. So first of all what we’re seeing is that and hearing is that pharmacies are more aggressive about reimbursement rates and admin fees. And the why is because of the situation they’re in, right? They desperately need the margin and need to start shifting the balance a little bit from the PBM side to the pharmacy side in terms of total profit pool capture. I think in terms of the pharmacies involved, I think the larger pharmacies are flexing their muscles and leveraging this and the larger pharmacies are where a lot of the volume is. So from that perspective, as Scott said too, the majority of our prescription transactions, revenue and transactions still flow through PBMs. So if the PBMs are making a bit less that has the potential for flow through impact on us. And that’s factored into what we talked about with respect to our preliminary views on 2025; so already factored in. I think in terms of more broadly though, your question, the reality is that as we continue to direct contract more, as we continue to focus on brand medications and the opportunity to drive value from branded medications into pharmacies and the way Scott talked about and the ability to partner with them more broadly, that creates opportunities for us to accept ourselves out of a trend that allows us to be differentiated and create incremental for value for pharmacies, particularly as we continue to direct contract. There’s one quick add. Our usage growth is healthy. So at the fundamental individual consumer level, we’re having clean growth in usage, that’s not changing. And so as the industry goes forward, what you’re seeing is almost again the category relative to insurance because we at GoodRx are still driving consumer usage growth. We’re growing share in the discount card category and have been consistently doing so over the past several quarters. And so the dynamic is really a marginal one as these things play out relative probably to insurance. That’s kind of how the, I think that answers your take rate question. And I think to your point, Scott, the validator of the fact that consumer pricing remains compelling and GoodRx usage remains compelling is among other things the macros [ph] growth you’ve seen in the recently ended quarter that we’re reporting on now at 7%.
Operator: And one moment for our next question. Our next question will be coming from Daniel Grosslight of Citi. Your line is open, Daniel.
Daniel Grosslight: Hi. Thanks for taking the question. I’d love to get an update on the Kroger direct contract. I think when we last spoke about this you mentioned that it was going a little bit slower than anticipated and maybe some education. The pharmacist needed to be made to let them know that you can take GoodRx now. So curious if that has started to take off a little bit better now. And I think last time you disclosed this in a chart it looked about 1% or so of your claims are from Kroger. How fast do you think that can get up to where their overall market share is now? Thanks.
Scott Wagner: It’s Scott. Thanks. I’d rather not talk about super specific metrics at an individual retailer level. We’re working with Kroger and having Kroger present and we are driving a lot of views to Kroger within our environment. And I’d say the KPIs at an early stage are probably where we expected, and we hope and look forward to continuing to bring all those retail capabilities that I’ve been talking about or that you’re seeing, for example, with things like we’re doing with Hy-Vee to Kroger.
Operator: Thank you. One moment for our next question. Our next question will be coming from George Hill of Deutsche Bank. George, your line is open.
George Hill: Yes. Good morning guys and thanks for taking the question. I’ll say kind of maybe a two-part question here is number one, I guess could you update us on the Biosimilar strategy as it relates to Humira and your partnership with Boehringer and whether you’re kind of seeing any traction or whether there’s been any meaningful contribution there to speak-off? And then I guess Scott, kind of like the last one’s a big picture question as you talk about the Rx choppiness and we all know about the retail pharmacy environment but kind of the backdrop for drug utilization remains pretty strong, especially in Q3 and looking into Q4. So kind of just like, I guess I would ask what can you guys do to close the gap between what you guys feel like you’re seeing and the kind of the macro backdrop strength?
Scott Wagner: Thanks. Relative to Humira and BI and the Biosimilar again one of now our 72 point of sale cash programs that again up from 20 at the beginning of the year, it’s awesome. I mean across categories, whether you’re a brand that has competition in the brand or generic space. Whether your brand is off formulary or has certain gaps in coverage. Whether again it’s a Biosimilar or an OTC competing in that way, we’re meeting the need for affordability. And so the BI Biosimilar is an awesome proof point for that category that we think can and should grow. Again for the broader need of we got 1.5 to 5x the traffic of every brand.com page and there’s 80 million to 100 million brand scripts that are sitting at the counter. All that left every year due to affordability, there’s a lot of upset here.
Operator: Thank you. And one moment for our next question. Our next question will be coming from Eric Sheridan of Goldman Sachs. Your line is open, Eric.
Eric Sheridan: Great. Thanks for – thanks for taking the question. I guess taking a step back, when you think about the strategic priorities and or the investment priorities for the business, looking out towards 2025, we’ve talked a lot about the headwinds the industry faces from the retail footprint on this call. Are there any things within your control where you feel you want to sort of clarify or sum up ways in which you can sort of reposition the platform or maybe educate the consumer more deeply on the savings they could capitalize on that could possibly outrun or counteract some of the retail footprints we had and maybe how those fit into your broader priorities for 2025? Thanks.
Scott Wagner: Yes. Thanks Eric. You’re giving me a plug to retail really, because the GoodRx promise of affordability and transparency is super powerful. And so back to that almost 1 billion scripts and 80 million to 100 million brand scripts that are left. We’re creating a way that particularly brand pharma can get an affordable price to people, whether it’s a direct cash price or whether it’s all the various co-pay programs that they have that are honestly only understood by a small amount of consumers, all of that living on GoodRx. And the discussion that we’re having and really want to have with retail is bring those to the counter. That plus everything else holistically bring those programs to the counter and we’re the only company that’s really investing in technology to help people preorder. Should you be able to pick it up in store or get it sent to your house? Can I pay upfront? It’s turning this into a consumer product experience that will help retailers manage their workload at the counter and get them better economics and again capture a lot of incrementality.
Operator: And one moment for our next question. And our next question will be coming from Michael Cherny of Leerink. Your line is open, Michael.
Dan Clark: Great, thank you. This is Dan Clark on for Mike. Just a question on 2025 in your core prescriptions business; how are you thinking about changes to Medicare Part D plans, particularly a lower out of pocket cap and just any impact to your business? Thank you.
Scott Wagner: Sure. Thanks for the question. I’ll speak to this one quickly because the topic I think that we’ve addressed a couple times. The out of pocket max applies to a tiny proportion of Medicare users. I think you all can look this up and empirically too, the tiny percentage that actually have historically spent enough to hit the cap. So with Medicare being sub-30% of the users on GoodRx, and with a couple percent of them hitting the cap, this is like a pretty minute potential impact, especially when you consider that folks don’t know if they’re going to hit the cap until they do in many cases. So they still have rationale and basis for using GoodRx in the meantime. So I think from our perspective, this is not a top 10 worry for us by any means.
Operator: And I would now like to turn the call back to Scott for closing remarks.
Scott Wagner: I appreciate everybody being with us on the call. Thanks for the questions and we will talk to everybody soon. Thank you.
Operator: And this concludes today’s conference call. Thank you for participating. You may now disconnect.